Operator: Good day, and welcome to the fourth quarter 2014 earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Patti McGlasson, Senior Vice President of Legal and Corporate Affairs. Please go ahead, ma'am.
Patti McGlasson: Good morning, everyone and thank you for joining us today to discuss NetSol Technologies fiscal 2014 results. Before we begin, I would like to remind you that today's call may include forward-looking statements that are subject to certain risks and uncertainties. Please refer to the Safe Harbor statement contained in today's press release and also the NetSol's periodic filings with the SEC for a complete discussion of these risk and uncertainties that could cause actual results to differ materially from those you might pursue today. I would also like to point out that NetSol may discuss certain non-GAAP measures. The release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP measures. Please note that the company has posted slides to accompany today's call at www.netsoltech.com. If you have not done so yet, we would encourage you to visit the site to follow along. I will now turn the call over to Najeeb Ghauri, CEO of NetSol Technologies. Najeeb?
Najeeb Ghauri: Good morning, and thank you, Patti, and thank you everyone joining us today. We will begin with an overview of the year as seen on our agenda on slide number three, followed by a product discussion of NFS Ascent and NFS Mobility to give a few customer updates and then provide insight into the investment we are making to grow NetSol. I will turn the call over to Roger Almond, our CFO, to go through the numbers and then to Naeem Ghauri, our President of Global Sales who is joining us from Bangkok to review our pipeline opportunities before opening up for questions. Now turning to slide number four. Fiscal 2014 was a year of significant progress on both the technological and operational fronts highlighted by the launch of our next-generation finance and leasing platform, NFS Ascent and our entrance into enterprise mobility. The year was characterized by a product transition and investment and growth causing lower license revenue and increased expenses that impacted the bottom line. At the same time, we took steps to invest in our future, building infrastructure and adding personnel to support multiple complex implementations. The fast pace at which we are hiring, even at a time of lower revenue, demonstrates our confidence in our potential deal pipeline. Confidence in our pipeline is exemplified by the recent signing of our largest single contract to-date, a $16 million deal with a major Japanese bank for NFS Ascent, which is not yet reflected in our financial results. This is a major win and something that took time to achieve, but importantly it is a development that demonstrates the value of our platform and the expertise we provide within the global leasing and financing software industry. When we announced the launch of NFS Ascent earlier this year, we also announced that Nissan Leasing Thailand went live on this new platform. They have been live for nearly a year and we are one of the early adopters of the system, prior to the official market launch. Feedback has been very positive, serving as an important reference point moving forward. Naeem will provide more color on our pipeline momentarily. Additionally, we announced our entrance into mobility signing an implementation with a major global luxury car manufacturer and finance company in China. With the increased size and scope of potential deals and our efforts to further penetrate North America, Europe and other key markets, we took steps to create what we believe will be a powerful sales and delivery capability by growing our sales and technical teams and seeking to improve employee retention. Additionally, we expanded our technology campus adding two floors full of a highly skilled energized workforce already leveraging the strength of our NFS Ascent platform to new and existing customers. Please turn to slide number five. NFS Ascent was created to allow for significant flexibility and customization. It was engineered for the future and developed using the latest tools and technologies. To provide background for those of you who are new to NetSol, turning now to slide number six. NFS Ascent was designed using our collective experience with blue chip customers throughout the world connecting global locations in various languages and in multi-distributor and multi-manufacturer environments. Simply it is a global system that meets local requirements. The platform includes a number of software applications, each of which can be a complete solution in itself or used independently to address specific areas of the leasing and financing cycle or collectively as an end-to-end system. It handles an array of lease accounting and contracts and under various accounting methods. With three dynamic and configurable modules that allow users to create a multiple threat flow engine, a business process manager and a business rules engine for applying rules and checkpoints at different levels. Users can better manage risks, automate tasks to speed operations or even reengineer business processes, enabling users to streamline and automate complex business operations, saving time and resources. Throughout the world, we are busy conducting product demos and are in ongoing conversations with current and potential new customers. As I have highlighted to you in the past, we are pleased, very pleased, to now see some of those potential contracts coming to fruition. Turning to slide number seven. I would like now to take you through our latest deal for the NFS Ascent, a $16 million contract with a major Japanese bank, as I mentioned earlier. The implementation will fully automate all finance front and back office operations, managing a portfolio of nearly 2 million contracts and serving more than 5,000 concurrent users. The implementation phase will take place over the next 18 months, with the first go-live scheduled for this February. License and services revenue should generate more than $10 million with maintenance and support services over five years, bringing the contract to $16 million value. Importantly, and I would like to highlight in the graph to the right, more than 50% of the value of project will fall into services revenue. Roger will provide some insight on how this will improve the service revenue mix in his remarks. Transitioning now to NFS Mobility. We are currently developing a new enterprise grade mobile application for use by our NFS customers, focusing initially on an iOS platform with plans to provide Android and Microsoft platforms in the future. As highlighted in slide number nine, our new mobility application includes four products such as number one, mPOS, a point-of-sale application that simplifies the business origination process; two, mAccount, which gives customers complete visibility of the credit lease contracts; three, Field Investigator, which enables the field teams to perform applicant detailed verification on-the-go and finally, Collections, and apps that helps collection teams be more productive with its easy-to-use interface and intelligent architecture. Our first mobility project, as highlighted on slide 10, has been initiated with Mercedes-Benz Finance China with mPOS on iPads. This unique solution allows auto dealers to perform the contract origination process using a mobile device like the iPad. It comes equipped with a detailed intelligent dashboard, quick-quote loan calculator and application submission and collaboration tools. For example, just think of a test drive with your local car dealership and doing all the paperwork in the car, on your porch, from a coffee shop or anywhere else. Coinciding with the product launches, we hired a number of employees building upon our talent pool. Slide 12 shows the growth in employees highlighted by large increase in technical personnel and the doubling of our customer support staff. While the increased headcount impacted the bottom line, we see it as an important step to achieving a sustainable growth trajectory. But I would like to point out that we believe our incremental expense of adding new employees actually is one of our advantages and something that will help build leverage into our business as we scale up with larger contracts. Now to slide number 13. As we continued hire new employees, we have created a more fulfilling environment at NetSol, ultimately decreasing turnover to less than 8% today. We also refocused the business on core solutions, as described on slide number 14. We sold our Vroozi division during the year and discounted two non-core products -- or rather discontinued two non-core products, which accelerated depreciation and amortization and impacted our results on a GAAP basis. I will now turn the call over to Roger Almond to go with the financials. Roger.
Roger Almond: Thank you, Najeeb. Starting on slide 16. Our total net revenues for the year were $36.4 million, compared with $49.8 million for the same period last year, reflecting a decline in new license sales due to the product transition period. And as Najeeb mentioned, the year is also marked by a period of significant investment with the hiring of a number of employees, increased selling and marketing costs, as well as higher travel and business development expenses. We also incurred a one-time charge increasing depreciation and amortization, a non-cash charge, as a result of our alignment towards the opportunity with NFS Ascent as we discontinued two non-core products. It is also a period marked by strong collections resulting in an improved cash balance compared to last year. On slide 17, you will see an improvement in maintenance revenue over the past five years. In the current year, we added approximately $870,000 in new maintenance revenue. As we look forward, we expect maintenance fees to remain at the current level until new implementations are completed. Service revenue, which you can see on slide 18, remained relatively strong at $20.4 million as a result of change requests and customizations, compared to $22.5 million last year. When looking at service revenue mix on slide 19, enhancements and change order request have historically been a strong portion of the overall revenue. As NFS Ascent contracts have a larger service revenue component, the implementation service revenue portion of the mix should trend up as the new contracts are implemented. At the same time, enhancement and change order requests are expected to continue to be strong. Turning to slide 20. Cost of sales for the fiscal year were $27.7 million, up from $20.3 million for the same period last year. The increase was related to the hiring of new employees, as well as the increase in depreciation and amortization expense, as we had begun amortizing the NFS Ascent development cost. On the operating expenses side, 2014 expenses increased to $21.8 million from $16.1 million last year. With employees conducting demos throughout the world and other marketing activities, we incurred higher selling and marketing expenses, as well as additional general and administrative expenses to support our expected growth. Our results are also affected by one-time depreciation and amortization of non-core products as well as some additional one-time items. On slide 21, it shows that we had a one-time charge of $3.2 million including a bad debt charge of $1 million and a $1.4 million non-cash charge for the depreciation and amortization of those non-core products. The loss for the year was offset by nearly $2 million gain on the sale of Vroozi. Additionally, with the sale, we eliminated ongoing expenses from that division. Taking all of this into account, our net loss was $11.4 million, equal to a $1.25 per share, compared with net income of $7.9 million or $0.95 per diluted share. Turning to slide 22. EBITDA was a loss of $2.3 million for the year or a loss of $0.25 per share, compared to EBITDA of $14 million last year or $1.69 per diluted share. For the year ended June 30, 2014 our cash and cash equivalents balance was $11.5 million, up from $7.9 million at the same time last year. On slide 23, the graph demonstrates improvement in cash and how it relates to our accounts receivable balance. We believe that with the resources we have today and as we sign and bill for new implementations, we have the necessary runway to execute our growth initiatives. With that I would like to now turn the call over to Naeem to provide color on our new pipeline -- our new business pipeline. Naeem?
Naeem Ghauri: Thank you, Roger. Today, we are making crucial investments for the long-term growth of our company, investing in greater resources to capture market share for our new platform. I would now like to provide you some color on our potential deal pipeline, which is starting from slide 25. Our new business pipeline is very strong and healthy and currently valued at more than $100 million in potential deals. Our pipeline funnel is comprised of three areas, implementations where we may be the only service provider, conversions for existing NFS customers and potential implementations where we are bidding through an RFP process against a competitor. We are targeting regional and global rollouts where we have the opportunity to implement in multiple markets, potential deals that tend to be higher value in nature and with slightly longer sales cycles. We also are looking at potential deals in emerging markets where we are key leader service provider of choice. Conversion is another area. One of the strong points of our NFS Ascent platform is that it provides a pathway to upgrade from our legacy NFS R1 application. And while some customers will continue to rely on this platform and system and support, they do have an upgrade path to our next-generation solution. In established markets such as the U.S., we also have the opportunity to consult with companies on their current homegrown systems and have them upgrade to our platform. We have already made some progress in this area through a consulting agreement with a global equipment manufacturer and their Mexico-based subsidiary. Now moving to slide 26. We believe we have a strong opportunity ahead. Nissan Leasing Thailand has been live with NFS Ascent for close to a year. We have the first phase of an NFS implementation for Ascent an ongoing at Toyota Leasing Thailand and going live in early 2015. We also recently signed a very large $16 million program with a Japanese bank. Of course, we don't believe these large global companies would have chosen to implement NFS Ascent if they had vetted the product and the adoption provides strong references as we further introduce the solution. With that, I would now like to turn the call back to Najeeb. There you go, Najeeb.
Najeeb Ghauri: Thank you. In conclusion, as we enter our next chapter of growth and consider the opportunities before us, with a highly competitive solution in NFS Ascent, large-scale projects in the pipeline funnel and a talented team, we have reasons to be optimistic. This all hinges on the pace at which we are able to close and deliver new deals. On that point, we anticipate being able to announce new NFS deals upon signing with the customers. With that, we will now like to open the call up for questions. Operator?
Operator: (Operator Instructions). We will take our first question from John Nobile with Taglich Partners.
John Nobile - Taglich Partners: Hi, good morning. I’m filling in for Howard Halpern. He left a few questions. I would like to just run through a couple of here, please. One thing, where does the NFS Ascent product stand in terms of the qualified pipeline with respect to how many customers are conducting due diligence on the offering and what is the qualified pipeline total potential value?
Najeeb Ghauri: Okay. Although Naeem just discussed it, I will have him jump again to give you more specific details.
John Nobile - Taglich Partners: Okay.
Naeem Ghauri: Yes, okay. So we have got different types of deals ongoing. So we have clients which are already in implementation mode and then the other clients within the same group. So for example, we have global frame agreements with three of our clients where they are currently implementing in one country, but they want to go to the next country. So the next country would appear on the pipeline also because they are waiting for implementation to happen in the first market and then to move on to the next. So it is that type of leads as well. In addition, we are currently going through different phases of our sales cycle with a number of clients who are vetting the product. What we typically do is that we create proof of concepts for them and we enter workshops where most of these workshops are paid for. So we enter in a consultative mode. So those type of opportunities are also there. Then there are the upgrade opportunities from within the existing clients and there are some of them in China and some are in Asia-Pacific. So there is three types of deals. I would say, as I said earlier in my earlier piece that we have around $100 million worth of opportunity and which is now not really strange territory for us, those kind of numbers because our typical deal size has grown and from the announcement we made earlier, on the $16 million deal, we have these multimillion dollar deals now. So we don't need to really have a lot of them to get $100 million as opposed to how hard it was six or seven years ago.
John Nobile - Taglich Partners: All right and next question, well, we are limited to two here. I will get back in the queue. How many of the three initial Ascent customers are fully customized and operational?
Naeem Ghauri: Well, at the moment, we have one client live and, as I said, three others in implementation. In addition, we have been implementing modules of Ascent over a very long time with different clients. So our front office is already installed at many different clients. So I would say between one fully live implementation to the ones who have the front-end modules, I would say about five in total.
John Nobile - Taglich Partners: Okay. Thank you.
Naeem Ghauri: Thank you.
Unidentified Company Representative: So I have a couple of questions that have come in online during the presentation. So they are just wondering a little bit about the hiring and how much more hiring are you projecting to do next year and how many people are trained and billable now?
Najeeb Ghauri: I can answer, or Naeem, you want to answer that?
Naeem Ghauri: In terms of hiring, really we have - we are fully optimized now. We are doing now incremental hiring. The actual core group for Ascent is fully in place. As you can imagine, our legacy platform was a totally different toolset and technology stack as opposed to Ascent, which is on a totally cutting-edge tech stack. So when we needed different resources. So we have done the bulk of the hirings and now we would only hire additional resources as we win more business. There is always hiring against turnover. As Najeeb mentioned earlier, we have 8% turnover. So we have to obviously replace that percentage of people that leave. In addition, for new projects, we have a program by which we hire slightly ahead of actually signing contracts, because we have a way of obviously through our own sales process, knowing which projects will actually come online in a certain time frame. So we hire ahead of the curve to be ready by the time. So I think would say, bulk of the hiring has been done. Those big numbers that you have seen will now just increase quite gradually and incrementally.
Najeeb Ghauri: I want to add two more points.
Naeem Ghauri: Roger, what was the second question. There was two questions. Sorry. What was the second part of the question?
Unidentified Company Representative: How many do you plan on hiring? And also, how many are billable now?
Naeem Ghauri: Okay. Najeeb, let me get that one.
Najeeb Ghauri: Sure.
Naeem Ghauri: On the billable side, so when you look at the number of people hired over this last fiscal, a lot of them would have been hired in the tail-end of the year. So in the last quarter, let's say for example, we hired 70 people. So those people would not be billable yet, because they are going through orientation, training and so on. So I would say, of all the hirings you have done, approximately 75% are fully billable and productive. The other 25% would be going through different phases of training, and they would come on stream in the next three months.
Najeeb Ghauri: I want to add one more comment here. In addition to, Naeem said the optimizing, at least the technology resources, what the company is doing is that we are really attracting some senior talents from all over the world to take over a senior role in the company, whether they are in sales or project management and so forth. That is usually to support our growth opportunities, not just in one market, but the markets worldwide. So the company is really looking at in a way that we have solid team in place in every location, the U.K., U.S., Asia, all over in Asia, different offices. So we believe it's a right investment for the future. And one of the things we achieved -- we are trying to achieve as KPI is really, get the best results from each employee rather get more efficiency or more productivity per employee. So really company is focus in a way that we achieve stronger, better results without having too many people in terms of technology. But into the management, we are always looking for the best talent so we can grow the company in different verticals and different areas globally.
Unidentified Company Representative: Thank you. I just had one more question before I turn it back over. In the past stated, you stated that you are seeking 40% growth in North America. Is that still something that's on track? Or is it still something that's part of your thinking? Can you provide some more color there?
Najeeb Ghauri: Its absolutely part of our thinking and exactly as mentioned, we are locating some of the key people into U.S. offices from different -- other countries. And I believe we have not yet launched Ascent in the U.S. markets. It should be coming shortly. But we are quite busy with the one key customer that was signed year and half ago, U.S. customer based project in Mexico. So eventually we would like to achieve that goal. I can't give exactly, is it a year, two year time, but definitely our strategy is there to improve our revenue by impressive numbers in coming months or so.
Unidentified Company Representative: Okay. Thank you. I will turn it back over to the operator.
Najeeb Ghauri: Thank you.
Operator: (Operator Instructions). It appears we have no further questions over the phone at this time.
Najeeb Ghauri: Thank you. In closing, I would like to express my deep gratitude to our shareholders for their continued support. I want to thank and appreciate all every single NetSolian worldwide for their dedication and hard work. Thank you again for joining us today. And we will see you next time in the Q1 earnings sometime in November this year. Thank you all and have a good day.
Operator: Ladies and gentlemen, that does conclude today's presentation. We thank you for your participation.